Operator: Good day, ladies and gentlemen and welcome to VEON First Quarter 2021 Results Webcast and Conference Call. [Operator Instructions] As a reminder, today's conference is being recorded.  I would now like to hand the conference over to Mr. Nik Kershaw, Head of Investor Relations. Please go ahead, sir.
Nik Kershaw: Hi good afternoon and good morning, everyone. Welcome to VEON's first quarter results presentation for the period ending 31, March. I am pleased to be joined on the line today by Kaan and Sergi, our COO, along with our group CFO, Serkan Okandan and Alexander Torbakhov, our CEO for Beeline Russia, will join us for the Q&A session today. Today's presentation will begin with an overview and some highlights of the past year from Kaan. Following this, we will do a detailed review on key markets by both Kaan and Sergi. Sergi will then discuss the banks business and I'll slowly walk you through with Serkan giving a review of our financial results. We will then hand it back to Kaan to discuss our outlook and their priorities for the year. As ever, we will ensure that there is ample time for your questions, but we would ask you that you save this for the end of the presentation. Before getting started, I would like to remind you that we may make forward-looking statements during the presentation, which involve certain risks and uncertainties. These statements relate in part to the company's anticipated performance and guidance for 2021, deeply in light with the COVID pandemic, future market developments and trends, operational network development and network investment, and the company's ability to realize its targets and commercial and strategic initiatives, including current and future transactions. Certain factors may cause actual results to differ materially from those in our forward-looking statements, including the risks detailed in the company's Annual Report on Form 20-F and other recent public filings made by the company with the SEC. The earnings release and the presentation, each of which include reconciliation of non-IFRS measures presented today can be downloaded from our website. With that, let me hand over to Kaan.
Kaan Terzioglu: Thank you, Nik. Hello to everyone and thank you for joining us. Let me start with giving you some group highlights of our achievements during the past quarter. And we will then move on to discuss more details on the operational performance of our markets. As you will remember, we started reporting quarter on quarter improvement since the third quarter of 2020. In the final quarter of last year, we returned to a year-over-year organic growth. In the first quarter of 2021, our year-on-year growth has accelerated significantly as our hard work over the six quarters started paying off. Today I'm pleased to report that VEON group delivered the 4.3% increase in total revenue in local currency. When one considers the one less calendar day in the period, the normalized growth in total revenues has been about 5% consistently since December. Similarly, local currency EBITDA in the quarters accelerated to 4.4% year-on-year growth. These growth trends in our financials are the first result of strong underlying operational dynamics.  We have grown our customer base, expanded 4G coverage, improved 4G service quality, increase the number of 4G capable handsets in our customer base, and explained not only the numbers but also the share of 4G users in our subscriber base. A key factor powering this change is our targeted network investments. With a CapEx in touch [ph] the ratio of 24.7 a much better linearity of CapEx spends of $425 million in this quarter. We are glad to see this investment translating to customer experience improvements in real time, and impacting the usage, churn and ARPU of our existing users. In the coming quarters, we expect to see the increasingly positive financial impact of our early deployment of investments.  Next slide. Before we get into the details of our operational performance, I would like to give you an update on our strategic priority, which I initially discussed with you during our last year end results. This priority is our infrastructure as this portfolio. I can confirm that today in our two largest tower markets, Russia and Pakistan, we have separate legal entities in place that hold our tower assets. In Ukraine and Bangladesh the teams are also making progress in this regard. Recent transactions and developments in tower assets across our industry have made it abundantly clear that infrastructure assets embed significant value. The limited presence of independent tower costs in our markets combined with future requirements for network expansion represents a truly unique opportunity.  Next slide. Returning to the operational performance of the old group companies, our Russian business is gaining momentum both in revenue and customer metrics. As the chart on the left hand side demonstrates, we have a solid year-on-year monthly total revenue growth trend both for the group at large and Russia since December. When February is adjusted for one less calendar day, this performance now takes the line Russia two year over year organic growth of total revenues for the entire quarter. Similarly, to total revenues, we have also seen positive trends in service revenues. I will elaborate on this further in the upcoming slides. The chart on the right highlights the customer base stance. We have started seeing stabilization in total subscriber numbers for Beeline Russia since June 2020. More importantly, we are seeing consistent growth in 4G users within our customer base, resulting in a steady increase of 4G penetration, which has reached 49% of our base as of the end of this quarter, up from 41% penetration a year ago.  Next slide. Several quarters ago, I had shared with you a sequence to the trends that we expect to see in Russia, we are expecting to see a four stage process network improvements, changes to the behavior of our existing users, including higher usage and less churn and positive developments in customer perception and gains in new customer base, which would then translate into stage four financial results. It is important to note that we are in various stages of this progression in different parts of, different geographies of Russia. And that success has been led by key urban markets like Moscow and St Petersburg.  The positive customer and financial metrics that we are reporting today are primarily driven by the targeted network investments in Moscow City Center, and St. Petersburg, our immediate priorities. Beeline has also been expanding its footprint across the country more recently and our 4G base stations in Russia are up by 25% year-on-year. In city centers and across the country, we are also investing heavily in improving customer loyalty and end to end customer experience. In this quarter, our quarterly churn has decreased by 2.7 percentage points in comparison to the first quarter of 2020. We have also seen a shift in mobile number portability trends, where this quarter we move to the net positive port in additions. We also continue to improve the usage of our self-care application which as of March served 8.5 million monthly users as their digital gateway to our services.  Next slide. This slide shows the financial performance for Beeline Russia. Quarterly revenues were up 1.4% despite one less calendar day following to three quarters of sequential growth trends [ph]. Service revenues were down 1% year-on-year for the quarters, which is marked an overall improvement from 2.3% year-on-year decline in Q4 of last year. In month of March, we have observed a year-on-year positive growth in service revenues for the first time in 24 months. As I previously mentioned, a key driver of this acceleration in our 4G customer base, which now reach 49% up from 41 a year ago. As we have been sharing over the past few quarters we also track the changes to our customers monthly behavior and the impact of different kinds of 4G usage have over same parameters such as ARPU, churn and engagement in terms of data use.  Indication of below inertia, and average consumer of our voice and 4G services has roughly twice the ARPU level of a voice only customer. While a customer who also uses one of our digital services on top of voice and 4G connectivity has roughly three times the ARPU. Churn is half as we move from voice only to bundle voice and data and further reduced by 1/5 as we move to multiply users. From a data usage perspective, our average double play 4G user consumes 2.5 times the data of an average user. And this ratio goes up to three times when we compare a multiple user with an average user base in the total. These figures indicate the potential we can develop further as our customers choose to use our 4G services, and even more importantly, choose to use our digital services and solutions on top of our data and voice offering. Next slide. Moving on to Kazakhstan, this country remains our highest 4G penetration markets reaching 56%. This was instrumental in reporting here another solid set of results with revenues of almost 17% year-on-year and EBITDA growing 12.4% showing a margin of 51.6%. This high level of 4G adoption is a key enabler of data consumption. Data revenues now contributes 56% of total mobile service revenues. Also in Kazakhstan, lockdowns are supported continue to take up of next generation connectivity and services, including e-learning for school students.  Momentum in our fix line business continues with six line revenues up 29% year-on-year helped by continued focus on convergent products. I was pleased to see our self-care users more than doubling while our D line TV users grew 73% year-on-year, our strong network is proving to be a real differentiator and supporting the growth of digital services. With that, let me hand over to Sergi to take you through Ukraine, Pakistan, and some of our digital initiatives. Sergi?
Sergi Herrero: Thank you, Kaan. Let's now turn to one of our fastest growing markets Ukraine, where it gives the record another strong quarter, delivering double digit growth in both revenue and EBITDA. Strong 4G adoption is the main tailwind here and is enabling Kyivstar to grow ARPU and maintain impressive margins. Revenue in local currency terms grew by 15% on their pin by data revenue growth of 28%. The adoption of our digital services continued to accelerate with our self-care user base growing by 76% year-on-year and the total number of Kyivstar TV users exceeding 400,000. This has been enabled through the expansion of our 4G network, which now reached 87% of the population and gained 24% of 4G subscribers year-on-year. A direct benefit of that is the impressive growth in ARPU 16% in the quarter. Kyivstar is also a fixed line and B2B growth story. It has one of the highest fixed line revenues growth rates in the group 17% in Q1 and deliver B2B revenue growth of 6.4% through a continued focus on data solutions and big data services.  Turning next to Pakistan. Q1 saw solid trends for this high growth market. Revenue grew by 12% year-on-year, driven by impressive growth in our subscriber base. Many of these were new 4G customers, which as a group grew by 62% and now account for 42% of our total subscribers, a 13% increase compared with Q1 last year. This is reflected in the strong data revenue growth we saw in the quarter, which rose 28% year-on-year. Pakistan remains the gold standard for the group's ambition in digital financial services to the success of JazzCash, which leads the local market here.  JazzCash had another successful quarter with revenue growing 27% year-on-year, and its active subscribers base leads, which is 13.9 million monthly active users, which is nearly 80% higher than it was a year ago. We continue to invest in the future success of JazzCash. And it is reflected in Jazz EBITDA performance which grew by 8.1%. I want to spend a few moments on the long term growth opportunity that Pakistan offers us, which was summarized here on Slide 13.  The nation's demographics are among the world's most attractive, its population is the fifth largest, almost two thirds are under the age of 30, and middle class is growing rapidly. These are valuable ingredients for a long term perspective of a business like ours. They are also important considerations given that we now have full ownership of our Pakistan operating company through the adoption process that concluded in Q1. You can also see here how these micro trends are driving a rapid embrace of digital services. While open attrition is high and internet usage is rising. By combining these two, we are solving everyday problems for our customers in Pakistan in areas like banking, where almost 80% of the adult population don't have access to bank accounts. JazzCash is a substantial beneficiary of this and is seeing rapid adoption of its services for things that make me take it for granted like paying bills or online shopping. On Slide 14, you can see the achievements of JazzCash alongside those of the other digital services that together sit within our ventures division. The data here also underscores our ambition to replicate our success in Pakistan in other markets that share similar demographics and unmet needs. Bangladesh is a great example. Together with Pakistan, these markets travel India an offer early stage opportunities for our business where our services can solve local needs.  The success of ShopUp in Bangladesh is a strong example. Here, our investment is helping to grow the nation's leading digital platform for B2B commerce, which is linking us supply across the nation's highly fragmented retail sector. ShopUp has seen strong growth in its revenues over the past 12 months, and is providing us with a stable opportunity in mobile financial services as we harness our expertise to its platform. Digital entertainment is the third vertical where venture is currently focused. And Bangladesh is again, a local success story through the growth of Toffee. The growth of these local content platform has surpassed our expectations as 3.3 million monthly active users, Toffee active user base is over five times the size it was last year, and engagement rates are growing strongly, with half of the users being active on a daily basis. In Russia, our Beeline TV platform is also enjoying good growth following the launch of big data driven recommendation engine, which tailors content based on customer behavior metrics. Its user base grew by 28% in Q1 and is showing encouraging engagement rates.  Looking finally at our smaller market on Slide 15. The key theme here is the expansion of our 4G opportunity through network investment and growth of our 4G user base. This is resulting in significant growth in data demand across these early stage markets. The opportunity here, as we have done in our largest markets is to monetize this demand through the deployment of digital services that meet local needs. A process that is already well advanced in Bangladesh and is gathering pace elsewhere.  Let me now hand it over to Serkan to take you through the group's financial performance in Q1 in greater detail. Serkan.
Serkan Okandan : Thanks, Sergi. Good morning and good afternoon to all participants. In the coming slides I will not elaborate on our financial results in more detail. The recovering group revenue and EBITDA achieved during the second half of 2020 accelerated in Q1 this year, is many of our operating companies built resilience towards lock downs experience in our markets. Although second and third pandemic resulted and restrictions being introduced in certain markets the adaption's we have made to our operations, including greater use of digital channels resulted in a greater degree of resilience to their impact.  As set out on Slide 17, group revenue increased by 4.3% year-on-year in local currency terms, led by a 2.9% rise in service revenue. Robust customer demand for data once again enabled double digit growth in mobile data revenue, which increased by 13.6% year-on-year. On the right hand side of the slide, you will see that Russia was back to growth in the first quarter, with local currency revenues increasing by 1.4% year-on-year. Pakistan, Ukraine and Kazakhstan all delivered double digit revenue growth, and together were the main contributors to the group's positive revenue performance.  Turning now to the next slide, we can see how we had maintained a result focus on costs throughout the quarter, which enabled us to hold our EBITDA margin broad the flat at 44%. And to grow reports EBITDA by 4.4%, year-on-year in line with revenues. Reinforcing our focus on managing costs, we introduce a new Efficiency Program, which we call project optimum. Its goal is to cultivate continuous implement with both short term quick wins, and long term structural changes across the globe in order to ensure we operate efficiently up to the highest industry standards.  Project optimum goals have been cascaded throughout our operating companies, and now form part of the short term incentive program for our senior employees. So far, we have identified a total of $2.5 billion worth of addressable costs, which correspond to 56% or about 2020 total operating expenditures. Finally on this, net income for the quarter was $138 million, representing a utility rise of 15%.  Let's move now to cash flow and operational CapEx on Slide 19. We maintain our focus on investing in the expansion or 4G networks during the quarter which now reach 76% or 680 million combined population in our nine operating markets. As a consequence, operational CapEx rose to $425 million in Q1 '21 corresponding to CapEx intensity of 24.7% during the last 12 months. SD [ph] graph at the top of the right hand side sets out. Russia contains account for the lion's share of additional investment. The resulting cumulative impact is helping to drive growth in Beeline Russia's 4G customer base, which was up by a further 12% year-on-year during the quarter. Despite this elevated investment, all of our core markets, including Russia, generated positive operational cash flow, which at the group level amounted to $451 million for the quarter.  Moving to debt and equity free cash flow on Slide 20. At the group level net debt rose to $8.3 billion during the quarter, while our leverage ratio remained flat at 2.4 times within our comfort level on a post IFRS 16 basis, which includes lease liabilities as well. We shall look at our debt profile in detail on the next slide. But we have summarized here the various financing activities we completed during the quarter, further extending the maturity and reducing cost of borrowing at both group and operating company levels. The key transaction during the quarter was a new multi-currency revolving credit facility for $1.25 billion that we signed in March. The facility which was concluded with 10 international banks replaces the previous RCA [ph] from 2017 and has an initial tenure of three years plus the option of two one-year extensions thereafter, subject to the under concerns. Moving now to equity free cash flow; as you can see on the right hand side of the slide, BFCF was $50 million before license payments. However, they have paid $64 million for various licenses during the quarter also which $59 million was in Bangladesh. License payments in Bangladesh include the first installment of a new spectrum licensed acquired, where they paid 25% of the total cost of $115 million in the first quarter. The other important point here is that capsulated payments during the quarter was around $85 million higher than the CapEx made in Q1 '21. Due to payments related investments performed prior quarters. As we noted with our full year results, we would expect CapEx payments to normalize during the year.  Moving now to Slide 21; we summarized our debt and cash position at the end of the first quarter. Please note that numbers presented on this slide exclude these liabilities. Those steps were broadly stable compared with Q4 last year, and we continue to optimize the group sporting facilities aiming to lower our borrowing costs. Compared to Q1 last year, our weighted average cost of debt in multiple currencies has fallen by 90 basis points to 5.9%. And the group's average debt maturity has increased to 3.4 years at the end of Q1 '21 from 2.3 years a year earlier. We closed Q1 this year with net debt of $8.3 billion, including lease liabilities, which correspond to a leverage ratio of around 2.4 times. Excluding these liabilities, our gross and net debt amounted to $7.5 billion and $6.4 billion respectively. Alongside our various credit facilities, the group's available liquidity remains healthy in Q1 '21 at $2.5 billion underpinned by cash holdings of $1.2 billion and unutilized committed facilities over $1.3 billion.  Finally, let me turn to our outlook for the year ahead. This strong start to the year showing the continuation of improving trends from last year has resulted in the decision to raise our financial guidance for the group for full year 2021. As set out here on Slide 22, we now expect to see mid-single digit local currency growth in group revenue and EBITDA in 2021. This compares to our prior guidance or low to mid-single digit growth in each. As before, our guidance assumes that we will not see a return to seek [ph] lockdowns across our market, and that there are restrictions to remain in place. These will gradually ease in the months ahead.  With that, I would like to hand back to Kaan to summarize our practice in the year ahead. Kaan?
Kaan Terzioglu: Thank you very much, Serkan. Just looking to the priorities of 2021 and on next slide, you will recognize the 2021 priorities we highlighted with our full year results. While we still have some work to do over the rest of the year, I'm pleased to note that we have shown progress across all seven priorities we highlighted. Let me close with comments on some of these points. The momentum in 4G continues. As we continue working towards our medium term goal of over 70% penetration of 4G subscribers in our total subscriber base, we will enable continued growth across our markets. In Russia, we delivered the first full quarter of positive growth and we will continue with this progress. We are pleased to complete the Pakistan acquisition and now we have 100% ownership of our Pakistani entity, Jazz. Finally on towers, we'll continued to make progress on separating our tower assets in these countries. This remains an important priority for our team. We will be holding a capital market stake in September this year to update you on the group's strategic initiatives and I hope we will be able to meet you face-to-face at that time. With that, let me pause and hand the call over to the operator for your questions.
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Henrik Herbst from Morgan Stanley. Your line is open. Please, ask your question.
Henrik Herbst: Hello, thanks very much. I had a few questions. Firstly, I was just wondering in terms of your new guidance. So, you're now a little bit more upbeat on your revenue and EBITDA take [ph]. Is it fair to assume -- has anything changed with your view on CapEx? Or is it fair to assume that CapEx is likely to come in at the lower end of your 22% to 24% guidance range? Then secondly, I wanted to follow up on your -- you sort of repeatedly bring up your tower assets as strategic or as a great opportunity. Can you maybe talk a little bit about how you think and why you're so excited about that? Are you now actively looking for a buyer? Would you be happy to give up control? Or why are you talking so much about it, I guess? Just putting it in a separate units and legal entity doesn't really change anything. Yes, I think that was all. I guess last question is you've now done 4% revenue in EBITDA growth in local currency and as you point out, comps are getting easier throughout the year. Your guidance already assumed that we're not going sort of backwards in terms of lockdowns, etcetera. So, why shouldn't growth accelerate throughout the year? We also can't be sure of roaming headwinds. So, would you argue that your guidance is still a little bit conservative? Thanks very much.
Kaan Terzioglu: Henrik, thank you very much. Let me start with the CapEx question you have. Historically, the telephone companies have quite poor performance in the linearity of their CapEx investments. I think, we have reached a CapEx intensity of 24.7% in Q1, which shows that we have improved our linearity, which ultimately will lead to higher monetization of these investments. So, we think that still our outlook for the entire year is in-line with our guidance to 22% to 24% of top line. In terms of tower assets, we are excited because we believe in the markets that we operate in. Independent tower companies do actually have in the early embryonic stages. We do not see just separating our tower assets into different entities as the endgame. We look for crystallization of the value by creating synergies with other independent tower companies and we keep our options open there. So, I will not give you more details about our plans, but in every country, we do have a value crystallization plan in place that we will share with you as things progress. With regard to our guidance, we think now it is prudent to apply a mid-single-digit growth guidance for our top line and EBITDA. We are still in the process of assessing the pandemic and lockdowns in certain countries like Algeria, in Bangladesh, in Pakistan. There might be further waves to come. So, we are still keeping a cautious policy in terms of looking to our growth levels for the remainder of the year. Considering that we do not expect any roaming revenues to come back, we do not expect any migrant workers' activities. But I believe that at this particular time, it would be prudent to keep our guidance at the mid-level teens. Thank you very much.
Operator: Thank you. Our next question comes from the line of Vyacheslav Degtyarev from Goldman Sachs. Your line is open, please ask your question.
Vyacheslav Degtyarev: Yes, thank you much of the presentation. A couple of questions. Firstly, can you elaborate on the potential implication on the tax in Greece on the dividends that you repatriate [ph] from Russia towards the Netherlands? Any views how litigation can progress here? And will you consider any actions to mitigate the potential negative effects? And secondly on Russia, can you comment on the NPS score progression in Russia and specifically probably in Moscow if you drag that? It looks like you have progressed quite well with regard to the capital deployment already, at least in Moscow?
Kaan Terzioglu: Thank you very much. I will let Serkan to comment on the tax question you have in between Russia and Holland? And then I will ask actually, Alexander Torbakhov to comment on the NPS scores in Russia and Moscow. Serkan?
Serkan Okandan: Yes, thank you, Kaan. Regarding the double tax treaty between Russia and Netherlands, first of all, you should note that there is no change for 2021. So there will be no impact on our financials for this year. If the current existing agreement between two countries denounced, that will be effective from beginning next year. And by that time, we can have some chance to restructure our corporate structure to optimize the tax. But in the meantime, we are waiting for to see what will replace the existing double tax treaty between two countries. But again, to reiterate, there is no impact for this change in this year's financials.
Kaan Terzioglu: Thank you, Serkan. Alexander, can you give us the NPS situation in Russia and specifically in Moscow?
Alexander Torbakhov: Yes, exactly, Kaan. Actually, definitely as you know, NPS is very inertial parameter and this is why it doesn't react immediately when on your efforts, but I'm glad to declare that actually, there is some positive reaction in our NPS score. It started to grow very, very -- not scale, but still overall, Russia's NPS started to grow and the second important thing here is that the NPS as of our competition started to decline. And actually it has been declining for a year already. So, the gap between us and the leaders in this parameter narrowed dramatically. If looking into the component of this NPS, namely pricing transparency offering, which is very important, we see that in some of those, we became even top two and this is the huge change year-on-year when we were lagging behind the whole market. As for Moscow, Moscow for us is the most important as Kaan mentioned several times. At the same time, we were struggling a lot. So again, as in Russia, overall, Moscow NPS is lower than Russia's NPS. But it has the same dynamics. It started to grow and I'm sure again, it's inertial. It will continue to grow next quarters. Thank you.
Kaan Terzioglu: Thank you, Alex.
Vyacheslav Degtyarev: Thank you very much.
Operator: Thank you. Our next question comes from the line of Ondrej Cabejsek from UBS. Your line is open. Please, ask your question.
Ondrej Cabejsek: Hi, thank you. Two questions on EBITDA for you; one on Russia specifically. So you've clearly added a lot of fixed costs with the network rollout and then maybe something else. Also over the past year and-a-half. Can you just give us a sense of when -- first of all, how much was added and then in terms of the momentum, when can we expect now that Russia has turned around in the supplying for EBITDA to start in growing i.e. revenues flowing through over those fixed costs, or if there's anything beyond those fixed costs that we should be aware about. Second question on the group EBITDA in general, you're now saying that you've found about $2.5 million [ph] addressable cost. Can you just elaborate a bit on what exactly does that mean? Like, what is the potential from cost cutting over the medium term? And is it kind of in-line with the previous guidance that the company had of targeting about one percentage point margin expansion? Or do you believe this is more substantial than that? And then when can we expect this to be phased? Near-term, short-term, medium-term, long-term, please? Thank you.
Kaan Terzioglu: Maybe I will ask Serkan to respond to the second question you have. And then I will focus on the Russia EBITDA question. Serkan?
Serkan Okandan: Thank you. Maybe if I can use a couple of minutes to explain this program in detail, I think it will be useful. As you said, we are focusing on the costs, not only in the short-term, in the long-term as well. So, this program has some short-term quick wins approach, which we want to benefit in 2021. However, in the meantime, we want to focus on long-term structural changes where we can benefit from the upside in the long term -- meaning in the next couple of few couple of years. So, before starting this program, what we have done, we said that let's get our cost structure. And as you know, in telecom, there are certain costs that you can address, and certain others that you cannot address because it's out of your control. It's coming from the from the market dynamics, it's coming from other dynamics. So, when we look at our cost structure, we found that positively more than half of the costs in our portfolio, which is 56% to be precise, can be addressable. So, that's a good starting point. And there are these other companies that we look at, we look at the currency dynamics in our cost base. Again, we found out that overall cost base, our costs based on foreign denominated currency, which is [indiscernible] U.S. or euro is only around 10%. So 90% of the cost overall is denominated in local currencies. That's also a good starting point for us. So, what we are trying to target here this is not only a one-year program, this is a long-term program, which will be derived from -- of course, in the country level, it could not be driven from HP [ph] but that is still driven by the business owners in the countries. So, we have multiple initiatives, hundreds of initiatives in each and every country. Some of them are short-term, some of them are long-term. For the long-term, we have the investors probably this year, and get the benefits in the coming years. But all the low, we are very optimistic that we can start to get upside from this cost program in the coming quarters in order to incentivize the upper management as well. We also incorporate a certain target coming from this project in the short term incentives or the local senior management teams. So that's why we are quite positive about the program. It has made it early to quantify the benefits for this year, but I think in the coming quarters, we will be in a better position to give you more visibility about the outcome and the plans in this program.
Kaan Terzioglu: And Serkan, maybe you can also give a highlight about the HP cost base, how it evolves in Q1?
Serkan Okandan: Okay. Thank you very much, Kaan for bringing that as well. Of course, we are not running this program only on locals, we are also running the same at HP as well. As you know in 2020, we significantly reduced HP costs more than 50% in reduction. We also continue to focus on that part as well. And Q1 to Q1 this year, we almost have the HP cost compared to last year Q1. So, to be precise, we decreased the cost around 55%. And rest of the year, we will continue to focus on HP side as well.
Kaan Terzioglu: And then with regard to your question about the Russia EBITDA, let me give a little bit of perspective about why we think the 4.8% drop year-on-year is actually a good achievement from many perspectives. First of all, during the pandemic, we have seen discontinuation of roaming revenues, which is a very high margin business. Secondly, voluntarily, we caught all potential customer satisfaction deteriorating content businesses to improve the parity and the NPS scores that we are receiving. You see the impact on the NPS scores. This was also a high-margin business. In addition to that, the calendar day effect of one day of the leap year and also lack of migrant workers actually has an impact on the overall EBITDA performance. So despite all these changes, in addition to in-sourcing of our network management operations, we are doing actually better than the expected levels. And that's why I think this is also acceptable levels.
Ondrej Cabejsek: Thank you, Kaan. Can I ask a follow up for Serkan [ph], please. In terms of the HQ -- is HQ the kind of near-term easy win that you mentioned and it's the run rate that we've seen in the first quarter? Something that may be extended throughout the year. And then Kaan, too, is there a target by which, as we now approach the actual service revenues surrounding the second quarter for Russia, is there a kind of commitment that you can give in terms of Russia evidencing [ph] around or a target? Not maybe a commitment but a target? Thank you.
Serkan Okandan: Sorry. At this stage, we're not giving specific targets on either our cost program on one margins. I think as we progress during the course of the year, we'll see maybe the interim period, how things go and we can see if we're in a position. I think at this stage, it's a little bit early in the year and as Kaan mentioned early on in the call, so some uncertainties around maybe, you may see the impact of COVID come back or whatever the case is, it's something we'll not give formal guidance on that at this stage.
Sergi Herrero: Regarding the HQ costs, between the quarters, there may be some fluctuations, but overall, you can take to one of the bays for the full year.
Ondrej Cabejsek: Great, thank you very much.
Kaan Terzioglu: Thank you.
Operator: Thank you. Our next question comes from the line of Ivan Kim from Xtellus Capital. Your line is open. Please, ask your question.
Ivan Kim: Hi, good afternoon. Three questions for me, please. On Russia first. If you look at the market share of your gross additions in mobile, does it exceed your current market share now or is it in-line or below? Secondly, sorry to dwell on the double-tax issues treaty denunciation; but I think it's pretty clear by now that you will be taxed 15% in Russia at source and it won't affect this year, but it will affect next year most likely. So, what I'm thinking -- because if you will remain tax resident, I don't think there is any way around this. So, any comment on potential implications and what you're going to pay in tax would be highly appreciated. And then lastly, on JazzCash. So can you talk a bit about the JazzCash longer term revenue growth opportunity? For now, the customer growth outpaces revenue by a lot. So, do you think you the revenue growth there will accelerate closer to customer growth as usage of the platform increases? And maybe you can also comment on your competitive positioning [indiscernible]. Thank you.
Sergi Herrero: Sure. I'm happy to think JazzCash first and then pass it to Kaan and Serkan. When it comes to market position, we are close to 60% market share versus 37%-38% of Easy Paisa [ph]. As you will notice, the percentages inversed. So a year ago, Easy Paisa [ph] was the one having the majority of the market and thanks to the job of the team that turned around. When it comes to revenue lines, we are not going upside. I would say the usual parameters, I think that we focus first on payments and consumer. Now, we expanded to consumer lending and thanks to our microfinance license, we are able to extend this type of credit. This is something that grew dramatically during the past quarter and we continue to invest in that regard. And finally, the merchant proposition. We want to have a very strong merchant proposition and our focus has been on creating a seamless merchant onboarding. We now have more than 90,000 monthly active merchants which makes us the biggest merchant acquirer of Pakistan. And the plan is to continue to provide these type of services to this collective escrow accounts, secure payments and these type of things are in the pipeline of product releases. So overall, three product lines, consumer payments and then loans and finally everything that is merchant proposition.
Kaan Terzioglu: Thanks, Sergi. Serkan, you want to [indiscernible]?
Serkan Okandan: For double tax treaty, maybe I should have integrated in more detail, let me to take it in more detail now. As you all know, currently, as per the DTT [ph] between two countries, there is no withholding tax on interest, then there's 5% this holding tax on dividends. So we don't know what's going to replace the current double tax treaty. But assuming that it will be the same as the double tax treaties between Russia and Cyprus, Malta, Luxembourg, let's assume that there will be blank, like it 15% withholding tax on both interest and dividends. So if they assess dividends and interest separately, we are not receiving a dividend from people from Russia because of operations in Russia. But we have some pass through dividends coming from Russia to the Netherlands, if we assume that that withholding tax on dividends, such dividends will increase from 5% to 15% in the worst case scenario that will impact our cash flow by $15 million on an annual basis.  Moving to interest, we have a couple of intercompany loan arrangement within [indiscernible] Russia, which is now subject to nil interest, near withholding tax actually. But if there is a resolving tax of 15% of intercompany loans, it will be much easier to restructure those loan arrangements. So we don't think that there's a risk there because we can always restrict our intercompany loans such that we are not subject to system person withholding tax. So all in all, even if you don't know anything about the corporate structure, our exposure for additional withholding tax on dividends is much more $15 million. And we believe that we can restrict our intercompany loans such that there will be no withholding tax.
Sergi Herrero: I hope that is more clarity. Let me move to the question you asked about whether our growth additions in Russia and our market share in the gross additions are bigger or less than our market share overall, I will give you some insights about subscriber dynamics. And I will ask Alexandre to add if there is more. But as you can imagine, we are first to report so it's difficult to judge whether we have a higher market share in gross ads or not. But what I can tell you is we see a very healthy trend in terms of the churn rate in Russia. And we also see a very healthy trend in terms of number portability. And we understand the dynamics being negatively impacted on the growth edge market because of lack of migrant workers. But still, we see actually a strong growth trend on that side as well. Alexander, anything you would like to add with regard to specific market share comparisons on the growth sets?
Alexander Torbakhov : Yes, exactly. Actually, you're all aware of the fact that growth sets in Russia is something strange, it's actually you should always remember that the quality of those growth sets is very poor, all over the industry. And this is why we formulated last year for ourselves that we don't want to play these games, we actually were fighting for the clients but not for kind of growth to growth sets. And in terms of real clients, our dynamics is positive already and which is good. So this is what we care about.
Unidentified Analyst: Thank you, Alexander.
Operator: Thank you. Our next question comes from the line of Alastair Jones from New Street Research. Your line is open, please ask your question.
Alastair Jones: Yes, hi, thank you for the call. I just wanted to touch base on the Russian situation, just as regards to the OpEx and the costs. I know can you sort of alluded to the issues around the margins and where the squeeze has been happening. But just to look at the OpEx which has been sort of rising, it was rising 3% earlier in the couple of quarters, now rising 6%. So I can understand that's related to your network investment that you're undertaking, but I just wanted to get an outlook going forward in the second half of the year when is that 6% going to be sort of remaining at that sort of level? Is there further inflationary pressure going to come through on the OpEx side of things? Or does that 6% start to ease as the year progresses? Just to sort of give an indication as to, you know, potentially whether EBITDA growth can come back into Russia in the second half.  And then just secondly, on the content again, you talked about the content services having an impact. How far are we along the lines of removing that content revenue and when should that basically come out of them. Sorry about that. When should that content services come out of the revenue line? And, just to give an idea on that. And then finally, just on license fee payments. I know you had obviously the Bangladesh fee that got paid this quarter, are there any other license fee payments expected in the next I don't know, six to 12 months. Thank you. 
Kaan Terzioglu : So let me first of all, start with your question about the OpEx and the EBITDA in Russia. The squeeze that we have seen is primarily driven by the top line moments that I explained by roaming, as well as the exclusion of the content revenues. With regard to the progress on the contents revenues, we have done that so you should not be expecting more to come on that side. So we do expect actually these levels to be stabilizing. And with regard to the payments with licenses, as you know, we have an ongoing payment scheme, and maybe second can help me with the Pakistan situation. I think next quarter we have to make a payment there as well. Right?
Serkan Okandan : Yes. Apart from the ongoing license frequency pre payments that we may have in multiple countries, the most significant amount is in Pakistan, amounting $45 million, which will be paid in May, May this year. So that's number one. And of course, next year, may the same $45 million will come again, for Pakistan. The second big one, maybe I can say Bangladesh, as you mentioned in the release, we acquired the license among for an amount of $115 million, out of which we pay 25% of it. And the rest, which is $8 million to $6 million left, will be paid in five annual installments. So we will see in the next 12 months, the second installment in Bangladesh as well. 
Alastair Jones: Great, thank you. 
Operator: Thank you. Our next question comes from the line of [indiscernible]. Your line is open, please ask your question.
Unidentified Analyst: Yes, hi. Thanks for the opportunity question. So two questions from my side. First one on your tower portfolio. So in the presentation, you mentioned four markets focused on the Russia, Ukraine and the Bangladesh as the kind of a key market for tower portfolio optimization initiatives. So just a question on the other markets, so are you still considering any initiatives there? Or it's kind of another priority at this stage? And we expect you to focus on this or listed [ph] markets only? And what sort of timing should we expect? How far you are from any actions on the monetization or more efficient usage on the dollar portfolio in this market? So that's my first question. And the second question is sort of a follow up on your CapEx outlook and your thinking around CapEx. So you raised your revenue guidance for this year but the same sign, you have your CapEx to revenue ratio unchanged at 22 to 24. Does that mean that you were expecting somewhat higher CapEx this year versus your initial expectation in the beginning of the year? Or you just consider the changes not material? So just decided to keep it and in connection to that can you remind us which fixed rate or Russian ruble and then Pakistan, maybe Ukraine, you use for your cataract assumptions in the budget for this year? Thank you. 
Kaan Terzioglu : Let me start with the CapEx intensity because the range we provide 22 to 24 is actually sufficient enough not to be impacted by the guidance we have changed. With regard to the foreign currency rates, Serkan if you can take that question?
Serkan Okandan : Actually, I -- I don't want to disclose the specific fixed rate that we assumed in our planning. But what I can say is our assumptions are usually prudent and compared with current fixed rate, FX rate in Pakistan is better than what we assumed and FX rates in Ukraine and in Russia are in line with our assumptions at the beginning of this year. I think that will give you some guidance.
Kaan Terzioglu : And Alexander with regard to your tower portfolio question. Let me try to explain it this way. We have a total of 50,000 towers in our portfolio in nine of our operations. The two of the biggest markets that we have is Pakistan and Russia and two of the most advanced markets we have in closer to crystallization of value is Russia and Bangladesh. And the reason we mentioned about four because we believe those are the most significant ones, but it doesn't mean that we are not active on all countries in our portfolio. 
Unidentified Analyst: Thank you. 
Operator: Our last question comes from the lineup of Ondrej Cabejsek from UBS. Your line is open. Please ask your question.
Ondrej Cabejsek: Hi, two forward questions for me, please. One is on Pakistan. So in terms of JazzCash, I mean, clearly the ramp of this business is having a negative impact on the margin. But in general, I believe FinTech is usually much higher margin than the core services. So when can we expect JazzCash to become a creases to the margin? Is there like a medium term outlook for that, please? And then second question on Bangladesh, I believe, at least, according to local press a couple of years ago, Bangladesh or Banglalink was for sale, then you've kind of settled in with that not happening. You've mentioned some investments and B2B opportunities and digital opportunities a year ago. Now, if I look at your communication around Bangladesh today, it seems like you're ready to invest in the country quite heavily. So just, I guess the general comment from you in terms of how core or no core Bangladesh's is to you and what kind of opportunities you see there going forward being you know a subscale player? Thank you.
Kaan Terzioglu : So let me start with Bangladesh. I think that what you saw during the presentation reflects how we feel about Bangladesh, it's a growing economy, more than 170 million people living there, most of them are close to 30 years old. So the economy is being stable, it's a place that everybody would fight for getting, I would say a chance to succeed. So we feel that Bangladesh, it's a good opportunity for us, our investments in spectrum, talk about that the growth that we are seeing in digital with Toffee, and the investments that we make in ShopUp, I think it's so clear testimony that we are there for the long term. So we are not considering sell at this point of Banglalink. When it comes to JazzCash, we focus at the beginning on consumer payments, because it's a high frequency exercise. And it's something that you build your user base when it comes to B2C.  As I said before, we are now expanding towards loans, insurance and products that will bring more revenue to JazzCash, and also as the merchant proposition. So we can see other used cases. Overall, we feel that this is something that 2021 will be very important for the success of the company. So we are trying to see results of these investments, beginning of 2022. 
Ondrej Cabejsek: Thank you. A short follow up on spectrum if I may. So in Bangladesh, the price that everyone paid was very high, especially considering the amount of spectrum that was distributed, do you expect that to improve the competitive situation? And I guess that's a question directed at you, in particular because Banglalink has been the challenger in that market. And in general, do you see because we've seen two big potential spectrum bills in both Pakistan and Bangladesh. Do you think that COVID in general, is something that would drive the governments in these frontier markets to try and extract more money from the industry in general over the next couple of years?
Kaan Terzioglu : I cannot comment on what the governments of these two markets think it's tough to say. What I can say is that if you look at the auction of Bangladesh, out of the three or four players that were present, Banglalink was the one that was most efficient; we get the spectrum that we require to continue to be the best 4G provider at a cost that it's below the cost of the other space. So overall, I think that the job of the teams is quite successful. Overall, these markets were very hit hard when it comes to COVID. There's another lockdown happening as we speak, in Bangladesh. So it will depend a lot on what happens in the next few months to see if we can grab more market share from our competitors. But overall, as I said, we are confident that we have the right assets and the right value proposition in both markets to be successful. 
Sergi Herrero : And maybe if I can add, if you look to the results of the auction, we actually paid the most price effective, you know spectrum in terms of the results. We are comfortable with the spectrum position we have in Bangladesh and most importantly, we may not be operating nationwide, but regionally where we exist. We have the best network and the best customer experience. And that's why we are actually happy with the market positioning there.
Ondrej Cabejsek: Thank you. In very short form, sorry, if I may. Just in terms of the second lockdown, I've noticed that is there any, is there anything materially different from how people operate today versus a year ago? Like is it easier to run the business and in a place like that, compared to a year ago, I mean.
Kaan Terzioglu: We have learned a lot in terms of the experiences operating in a lockdown markets, and we have significantly improved ourselves their capabilities, mobility of our sales forces and alternative methods of reaching to the customer. So we feel much more comfortable today in terms of effects of potential lockdowns.
Ondrej Cabejsek: Thank you very much. 
Operator: No further questions. Please continue.
Nik Kershaw: If there's no more questions, I just like to thank everyone for dialing in. If you do have any more questions or need anything clarified, please just reach out to us. Thanks again everyone. Have a great day. Bye, bye.
Operator: Thank you. That does conclude our conference for today. Thank you to everyone who's participated in today's call. You may now all disconnect.